Operator: Good day and welcome to the Hilltop Holdings Second Quarter 2021 Earnings Conference Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Erik Yohe. Please go ahead.
Erik Yohe: Thank you, [Grant]. Before we get started, please note that certain statements during today's presentation that are not statements of historical fact, including statements concerning such items as our outlook, business strategy, future plans, financial conditions, allowance for credit losses, the impact and potential impact of COVID-19, stock repurchases and dividends, as well as such other items referenced in the preface of our presentation are forward-looking statements. These statements are based on management's current expectations concerning future events that, by their nature, are subject to risks and uncertainties. Our actual results, capital, liquidity and financial condition may differ materially from these statements due to a variety of factors, including the precautionary statements referenced in our presentation and those included in our most recent annual report and quarterly report filed with the SEC. Please note that the information presented is preliminary and based upon data available at this time. Except to the extent required by law, we expressly disclaim any obligation to update earlier statements as a result of new information. Additionally, this presentation includes certain non-GAAP measures including tangible common equity and tangible book value per share. A reconciliation of these measures to the nearest GAAP measure may be found in the appendix to this presentation, which is posted on our website at ir.hilltop-holdings.com. With that, I would now turn the presentation over to President and CEO, Jeremy Ford.
Jeremy Ford: Thank you, Erik, and good morning. For the second quarter, Hilltop reported net income of $99 million, or $1.21 per diluted share. Return on average assets for the period was 2.29% and return on average equity was 16.4%. Despite certain headwinds in each business, our selected business model was able to generate strong earnings and grow capital while at the same time returning capital to shareholders through dividends and share repurchases. PlainsCapital Bank generated pre-tax income of $87 million, compared to a pre-tax loss of [$17 million] in Q2 2020. Improvements in the economic outlook and positive credit migration throw a $29 million reversal of provision, compared to a provision expense of $66 million in Q2 2020. Outside of a few pockets of weakness, such as business focused hotels, our borrowers generally are seeing improved results with the economy reopening and robust activity. Strong deposit growth has continued with average interest bearing deposits, excluding broker deposits and Hilltop Securities Suite deposits, increasing by 26% from Q2 2020. This growth was partially offset by the planned runoff of approximately $858 million in broker deposits, and the reduction in Hilltop Securities Suite deposits of approximately $690 million as we optimize our liquidity sources and defend our net interest margin. We attribute this core deposit growth, primarily to increased liquidity in the market from government stimulus and the work our bankers have done to increase deposits from existing and new clients. Total average bank loans declined modestly by 2% versus Q2 2020. As PPP loans have run off, the commercial loan growth remains pressure. Quality loan demand has been muted, as our borrowers are [flushed with] liquidity, leading to pay downs and payoffs or the use of elevated liquidity to fund capital expenditures, and other investments before seeking bank debt. However, the Texas markets we are in continue to experience significant activity from business and household migration, which should drive meaningful long0term opportunities for the bank, specifically, in higher growth markets such as Austin and Dallas, with products like multi-family. Importantly, our business model has allowed us to selectively retain high quality mortgages from Prime Lending to support loan balances and provide improved yield opportunities for our elevated liquidity and capital. Prime Lending had another solid quarter generating $49 million in pre-tax income. While the mortgage market has begun to normalize, compared with the frenzied activity in 2020, volumes and profitability still remain elevated relative to historical levels. Prime Lending originated $5.9 billion in volume with a gain on sale margin on loans sold to third parties of 364 basis points. Although average mortgage interest rates declined year-over-year, refinanced volumes decreased to 32% of total origination, compared to 47% in Q2 2020. A decrease in mortgage interest rates typically lead to an increase in refinancing volumes. However, significant refinancing activity during 2020 has limited the population of loans eligible for refinance. Importantly, our focus on home purchase mortgage origination should allow us to outperform the broader market. As the third party market for mortgage servicing has continued to improve, we have reduced our retained servicing to 25% of total mortgage loans sold during the quarter and executed an MSR sale of $32 million, reducing our MSR assets to $124 million. In addition to rate, inventory, and affordability are the main things we are paying attention to in the mortgage industry. With low inventory continuing to drive home prices higher, the properties that are available are increasingly getting out of reach for buyers. This phenomenon affects both volume, as well as gain on sale margins, as certain products are more competitive in this environment. Despite the ever shifting mortgage landscape, Prime Lending continues to execute well on its growth strategy, primarily centered on hiring purchase oriented loan officers. In the second quarter Prime Lending had a net gain of 11 loan officers that we believe could add incremental annual volume of nearly $300 million. For Hilltop Securities, they generated 6.9 million of pre-tax income on net revenues of $94 million or a pre-tax margin of 7.3%. This was a challenging quarter for the mortgage centric and fixed income businesses. Although these businesses have performed exceptionally over the past year, they are subject to volatility, which illustrates the importance of diversified revenue streams within Hilltop Securities. The structured finance business was adversely impacted by mortgage market volatility in March and April, and generated net revenue of $11.5 million, a decline of 75% from Q2 2020. On a positive note, lock volumes remain relatively strong, compared to pre-2020 historical levels, as we continue to add and maintain strong relationships with existing clients. Importantly, our public finance and wealth management businesses generated revenue and income growth and we are pleased with their positive momentum. Moving to Page 4. Hilltop maintain strong capital with common equity Tier 1 capital ratio of 20% at quarter-end. During the quarter, Hilltop returned $55 million to shareholders through dividends and share repurchases. The $45 million in shares repurchased are part of the $75 million share authorization the board granted in January. This week, the Hilltop Board authorized an increase to the stock purchase program to $150 million, an increase of $75 million. Factoring in shares repurchase made during the first half of 2021, Hilltop now has approximately $100 million of available capacity through the expiration of the program in January 2022. Even with sizable capital distributions to shareholders over the past two years, including the opportunistic tender offer executed in 2020, our tangible book value per share has grown at a compound annual rate of 21% because of the profitability of our unique business model. We plan to continue to prudently distribute capital to our shareholders through dividends and share repurchases. In closing, Hilltop’s performance in the quarter highlights the versatility of our franchise and the value of our diversified operating models. Although near-term headwinds and volatility may occur, we believe each of our businesses are well-positioned to take advantage of profitable growth opportunity, and that we have the leadership capital and strategies in place to build on our franchise. With that, I will now turn the presentation over to Will to discuss the financial results.
Will Furr: Thank you, Jeremy. I'll start on Page 5. As Jeremy discussed, for the second quarter of 2021, Hilltop reported consolidated income attributable to common stockholders of $99 million, equating to $1.21 per diluted share. Included in the second quarter results with a net reversal of provision for credit losses of $28.7 million, which includes approximately $500,000 of net charge-offs in the quarter. On Page 6, we’ve detailed the significant drivers to the change in allowance for credit losses for the period. The most significant drivers in the quarter were the positive migration of certain credits in the portfolio and the further improvement in the expected macro economic outlook. First, related to the macroeconomic outlook, we leveraged the Moody's S7 scenario for our second quarter now. This scenario highlights improving real GDP and unemployment trends coupled with increasing risk of higher inflation in future periods versus the economic scenario selected for our first quarter assessment. The impact of the improving economic outlook resulted in the release of $11 million of ACL during the second quarter. The second key driver was the ongoing improvement in credit quality across the portfolio. During the quarter, the restaurant portfolio experienced positive migration resulting from improving financial performance and more resilient outlook for future periods. Further, the business saw broader base improvement across a set of clients, whereby their full-year 2020 results were not yet severely impacted as was previously expected and the first half results were improving from prior risk rating assessment periods. The results of the improvements at the client level equated to net release of ACL of $17 million during the second quarter. The combination of improved client reforming and improving macroeconomic outlook, which were only modestly offset by net charge-offs resulted in allowance for credit losses for the period ending June 30 of $115 million or 1.51% of total loans. Further, the coverage ratio of ACL to total loans increases to 1.86%. The loans that we believe have lower loss potential, including PPP, broker dealer, and mortgage warehouse loans are excluded.  Now turning to Page 7. Net interest income in the second quarter equated to $108 million, including $12.4 million of PPP related interest and fee income, as well as purchase accounting accretion. Net interest margin declined versus the first quarter of 2021 driven by lower PPP recognition, higher average cash balances, and continued pressure on loan held for investment yields. Somewhat offsetting these items were higher loan over sale yield, resulting from higher overall mortgage rates, coupled with lower interest bearing deposit costs, which have continued to trend lower as expected finishing the quarter [down] 9 basis points at 32 basis points. We continue to expect that interest bearing deposit costs will move modestly lower over the coming quarters as the consumer CD portfolio continues to mature and reset the lower yield. As it relates to asset yields, the current competitive environment for commercial loans is resulting in substantial pressure on new business loan yields, as well as our ability to maintain current [indiscernible]. Further, with funded loan growth continued to be slower than we expected, we are increasing the level of 1-4 family loans we are retaining on the balance sheet to approximately 50 million to 75 million per month from the prior outlook of $30 million to $50 million per month. As we noted in the past call, we are using the 1-4 family loan retention approach to offset the slower growing commercial lending environment. While this does provide a high quality source of assets, and net interesting income, these loans generally carry a yield below that of our traditional commercial loans. And as a result, we'll put downward pressure on NIM. To that end, we expected NIM will maintain or remain pressure into the second half of 2021 moving lower towards 240 basis points and 250 basis points by year-end. Turning to Page 8, total non-interest income for the second quarter of 2021 equated to $340 million. Second quarter mortgage related income and fees decreased by $99 million versus the second quarter of 2020 driven by lower origination volumes, declining gain on sale margins, and lower lock volumes. As it relates to gain on sale margin, we note in our key driver table in the lower right of the page, the gain on sale margin on loans fell 22 basis points versus the prior quarter. Further, we are providing the impact on gain on sale margin related to the loans that have been retained on the balance sheet. For additional clarity, the reported gain on sale is the margin reported by mortgage origination segments and replaced all loans distributed and retained on the balance sheet. Gain on sales loans sold to third parties provides the margin on those loans that were distributed outside of Hilltop Holdings or purchased at market value. As a result of our 1-4 family loan rotation approach, and the increase in aggregate monthly loan retention levels, the gain on sale margins have begun to diverge more than they have in the past. And as a result, we have provided both statistics for reference in this presentation. These statistics have been provided in our Form 10-Q and earnings release materials historic. During the second quarter of 2021, the environment in mortgage banking remained solid, and as expected to get into shift to a more purchase mortgage centric marketplace. During the second quarter, purchased mortgage volumes increased by 1.1 billion or 38.5%, while refinance volumes declined 43% or 1.4 billion versus the first quarter origination level. We expect this trend to continue towards a more purchase mortgage centric market over the coming quarters, which could continue to pressure gain on sale margins into the future. We continue to expect the gain on sale margins through third party sales will follow them a full-year average range of 360 basis points and 385 basis points. Other income declined by $37 million, driven primarily by declines in TBA lock volumes, volatility in market rates and volatile trading in fixed income capital markets. As we've noted in the past, the structure financing fixed income capital markets businesses can be volatile from period-to-period as they are impacted by interest rates, market volatility, origination volume trend, and overall market liquidity. Moving to Page 9. Non-interest expenses decreased from the same period in the prior year by $27 million to $343 million. The decline in expenses versus the prior year was driven by decline in variable compensation of approximately $35 million at Hilltop Securities and PrimeLending. This decline in variable compensation was linked to lower revenues in the quarter, compared to the prior year period. Looking forward, we continue to expect that our revenues will decline from the record levels of 2020, which will put pressure on our efficiency ratio. That said, we remain focused on continuous improvement, leveraging the investments we've made over the last few years to aggressively manage fixed costs while we continue to further streamline our businesses and accelerate our digital transformation. Moving to Page 10. In the period HFI loan equated to $7.6 billion. As we've noted on prior call, we expected that loan growth would be challenging during the first half of 2021 and the results [bear that out]. We've seen substantial increases in competition for funded loans across our Texas markets, which we expect will continue into 2020. Further, the ongoing growth and available liquidity both on bank balance sheets and customer balance sheets could further delay a return to more normal commercial loan growth rates for at least a few quarters. We continue to expect that full-year average total loan growth, excluding PPP loans will be within a range of 0% to 3%. As noted earlier, we are increasing the level of retention of 1-4 family loans originated in PrimeLending to between $50 million and $75 million per month. During the second quarter of 2021, PrimeLending locked approximately $176 million of loans to be retained by PlainsCapital over the coming months. These loans had an average yield of 3.11% and an average FICO and LTV of 780% and 64%, respectively. Turning to Page 11, second quarter credit trends continue to reflect the slow, but steady recovery in the Texas economy as the reopening of businesses continues to provide for improved customer cash flows and fewer borrowers on active deferral programs. As of June 30, we have approximately $76 million of loan on active deferral programs, down from $130 million at March 31. Further, the allowance for credit losses to end-of-period loan ratio for the active deferral loan equates to 16.8% at June 30. As is shown in the graph at the bottom right of the page, the allowance for credit loss coverage ratio, including both mortgage warehouse lending, as well as PPP loans at the bank ended the second quarter at 1.64%. We continue to believe that both mortgage warehouse lending, as well as our PPP loans will maintain lower loss content over time. Excluding mortgage warehouse and PPP loans, the bank's ACL to end-of-period loans HFI ratio equated to 1.86%. Turning to Page 12, second quarter end-of-period total deposits were approximately $11.7 billion and remained stable with the first quarter 2021 levels. While the overall balances were relatively unchanged, the mix of deposits continues to improve as broker deposits declined approximately $300 million and non-interest-bearing deposits rose by approximately $200 million versus the first quarter 2021 levels. Given our strong liquidity position and balance sheet profile, we are expecting to allow broker deposits to mature and run-off. At [6/30], Hilltop maintained $268 million of broker deposits that have a blended yield of 31 basis points. While deposit levels remains elevated, it should be noted that we remain focused on growing our client base and deepening wallet share through the sales of our commercial treasury products and focused client acquisition efforts. Turning to Page 13, in 2021, we continue to remain nimble as the pandemic evolves to ensure the safety of our teammates and our clients. Further, our financial priorities for 2021 remains centered on delivering great customer service to our clients, attracting new customers to our franchise, supporting new communities where we serve, maintaining a moderate risk profile, and delivering long-term shareholder value. Given the current uncertainties in the marketplace, we are not providing specific financial guidance, but we are continuing to provide commentary as to our most current outlook for 2021 with the understanding that the business environment, including the impact of the pandemic, could remain volatile throughout the year. That said, we will continue to provide updates during our future quarterly call. Operator, that concludes our prepared comments and we will turn the call back to you for the Q&A section of the call.
Operator: Thank you. [Operator Instructions] Our first question will come from Brad Milsaps with Piper Sandler. Please go ahead.
Brad Milsaps: Hey, good morning.
Jeremy Ford: Good morning, Brad.
Will Furr: Good morning, Brad.
Brad Milsaps: Jeremy, maybe I want to start with the broker-dealer. Just wondering if you could maybe offer a little bit more color on your outlook there? I know it's a tougher quarter. I think you've made comments in the past that you thought performance in 2021 might look a little bit more like 2019, just kind of curious if that still holds with kind of this quarter in the books now, kind of based on what you're seeing maybe here to start the second half?
Jeremy Ford: Sure. I mean, I think we saw a very volatile quarter as we discussed in Q2, particularly in the businesses that were really outperforming in fixed income and structured finance that are the higher margin businesses as well. And we see those being rectified and improving from where they are today, but clearly not at the levels they were in 2020 with the tailwinds that we had. So, getting to your point, I mean, I think that as we look through the rest of the year, I think we're looking at net revenue of somewhere around $425 million and pre-tax margin in the low teens for the year.
Brad Milsaps: Okay, great. That's helpful. And then, just maybe moving to balance sheet, obviously cash continues to build, you'll continue to get more back with the PPP program and in last quarter you commented you know you didn't really expect to build the bond portfolio in a big way and you really didn't. Just curious if that kind of still holds or kind of what your plans are kind of with some of the excess liquidity.
Will Furr: Hey Brad, it's Will. Couple of things to note. I do think the bond portfolio grows higher through – probably higher into the 2.4 billion to 2.5 billion level and end of the period at 2.1 billion. As we continue to kind of work to address, as you know, they are higher cash levels, higher liquidity levels, we're also increasing the loan retention, as we noted in our comments to 50 million to 75 million. We view the mortgage retention strategy or approach both as a counterbalance to softer commercial loan demand, but also somewhat as an alternative to the investment securities portfolio. So that increase, we will continue to monitor on a quarterly basis. But as we sit here today, those are the two things we're proactively doing to address liquidity over time.
Brad Milsaps: Great. And then just a final for me. I know you kind of addressed it there at the end, but I guess your provision guide would imply that you guys would be actually taking a provision in the back half of the year. Can you just kind of talk a little bit about that? You've got a pretty large reserve. Obviously, you're not expecting a ton of commercial loan growth. So just kind of curious, kind of what's kind of driving your assumption in the back half.
Will Furr: Yeah. I think as we look at it and if look in the appendix, you'll see the COVID-modified loan portfolio. So, we got about $76 million of deferred loans. We're actively monitoring the portfolio. I think we've consistently said, we expect charge-offs to be a little higher than second half year of the year than they are in the first half and that, kind of bears its way here into the outlook. And I think the other portion that's always out there is what's the economic outlook going to bear in subsequent quarters? So, from our perspective, again, we've got a lot of monitoring going on across the portfolio while there's been, as Jeremy mentioned and I tried to mention in my comments, I'd say substantive improvements across a lot of industries and a lot of dimensions in the portfolio. We still got certain credits that we're monitoring very, very closely, principally those business-centric hotels in the short-run. So that's what's leading to that outlook and we've got a recapture so far of about $34 million. But again, I think it continue to be our perspective that we'll have higher charge-off in the second half.
Brad Milsaps: Great. Thank you, guys.
Will Furr: Thank you.
Jeremy Ford: Sure.
Operator: Our next question will come from Michael Rose with Raymond James. Please go ahead.
Michael Rose: Hey, good morning, everyone. Just wanted to start off, following up on Brad's question. So, if I look at the ALLL, ex-PPP, it looks like you're at [112] if I'm doing my math right, so that would imply a little bit of build here. Just given the outlook for credit, which is still pretty positive, I understand the comments around the COVID exposed industries and things like that, but are we kind of at a level for the ALLL that you would think would be relatively steady state from here, all else equal?
Will Furr: Yeah, I think we got to put the traditional kind of caveat around that of the economic outlook to be volatile and that can move the number one way or the other, material in any given period. As it relates to, kind of the other key drivers, whether it'd be credit migration, again we continue to see positive credit migration across a large swath of the portfolio. We still got the watch portfolios, which I mentioned just a moment ago. And as you mentioned, we don't expect loan growth to be outsized in the second half. So, those would historically be the key drivers, loan growth and migration, which we'll both continue to watch, but I think the guidance we put forward here tries to capture our best thinking around where that provision goes from here.
Michael Rose: Okay, that's helpful, Will. And then maybe as a follow-up, just on the mortgage business. I think we're all cognizant that you guys had a great run here and things are normalizing again. So, spreads are normalizing, volumes are normalizing, although we did get another upward revision from the NBA the other day, which should help. What can you guys do, whether it's from hiring additional producers or targeting certain markets to I guess, "soften the blow" and generate a kind of a softer landing as the market normalizes? Thanks.
Jeremy Ford: Yeah, that's a good point, Michael. And I think even though it is normalizing, it is still strong from historical pre-2020 perspective. And to your point, what we really are – the main focus we're doing is trying to recruit profitable LOs. And today we have hired – we've increased our LO count by 72. And in the quarter, as I've mentioned in my comments, we increased it by a [net 11] that we think will add an incremental $300 million of volume. And that's net of the terminations that we've had.
Michael Rose: Okay. So, what's the base of that off of in terms of lenders? And obviously it dovetails into the higher origination targets you've laid out for the year, moving it from $17 billion to $20 billion to $20 billion to $23 billion, which is a nice move, but just trying to get a sense for what the net add is and what it means for the headcount?
Jeremy Ford: Sure. Where our LO headcount is right now, it is about 1,300.
Michael Rose: Okay, helpful. And maybe just one final one for me. You guys doubled the share buyback authorization to 150 million. I guess, the assumption would be that you would probably use most, if not all of it. And then, just given the capital levels are still elevated, is there the – I guess, the willingness and desire to continue to purchase shares just given you're trading above 1.2 times tangible? Thanks.
Will Furr: Yeah, I mean, I think that really we've been trying to – we bought $15 million year-to-date and so we had $25 million of the first authorization. And so, we didn't – we authorized another $75 million because we didn't want to run into any pressure with that. So, I think we'll take things one at a time and I think we'll be looking to be in the market. We'll obviously be prudent about price and where we're at now, I think, is probably an area that we would be in the market and we'll just kind of play out the year and do it. We're only doing this in open market and we're only going to do it at a level that doesn't impact the stock price.
Michael Rose: Understood. Thanks for taking my questions.
Jeremy Ford: Sure, thanks.
Operator: Our next question will come from Matt Olney with Stephens. Please go ahead.
Matt Olney: Thanks. Good morning, guys. Want to go back to Michael's question around Prime and the new hires that were disclosed. Is this a newer initiative for Prime hiring new lenders or is this just the same hiring strategy, just finding more success recently? I'm trying to appreciate if we should assume additional hires in the future and we could see additional market share takeaway in the mortgage business?
Jeremy Ford: Sure. I think, it's part of the business period. However, with COVID and just overwhelming volume in 2020, there is just really not a lot of movement there. So, you're always going to have churn, you're always going to have higher determinations. I would say, there is a renewed focus on hiring talented, purchase oriented loan officers this year and particularly because we're seeing a normalization in the market.
Matt Olney: And the second part to that Jeremy, given the new hires, should we anticipate some market share takeaways in the mortgage business?
Jeremy Ford: Yeah. I mean, as we said in our comments, I think given the models and the team that we have, I do think that as refinancing wanes, we will be market share taker and that's our goal.
Matt Olney: Okay. And then, sticking with Prime on the expense side, you guys already disclosed some of the good data around the variable comps for that business. But as the industry volumes slowed down, are there any more fixed cost you consider point down, if you think mortgage volumes could be slower for a while?
Jeremy Ford: You know, we're going to obviously really pay attention to that, but in this market where you've got like, in some cases 10 buyers for a property, we're still having to do the work like we are originating like last year. So, we still had to maintain staff and we want to make sure that we're able to really deliver with exceptional service and being on time is a big part of that. So, I don't see that waning, but we'll obviously be very focused on it.
Matt Olney: Okay. And then lastly from me on the loan growth outlook, I definitely appreciate the commentary about the increased level of single family retention, but you also dropped a commentary around commercial loan growth rebounding in the back half of the year that I think you previously mentioned back in April. Any more color you could add to that about why that was dropped?
Will Furr: Well, I think – well, maybe we're still at 0% to 3% kind of full-year average, which has been our position on kind of full-year average loan growth. So, I don't know that – I don't know that we've changed our loan outlook. I do think commercial loans what we're seeing is – for funded loans in particular is hyper-competitive and both pricing, which we generally are comfortable competing on pricing dimension, but also structure is starting to move. And again, we're going to be, as we have been over time, very prudent about structure and maintaining structure, maintaining kind of our underwriting principles. And so, as we look forward, and again I think as we look out with both liquidity to customers, continue to maintain as customer deposits remain at very elevated levels along with the overall liquidity on bank balance sheets, we think that could – this kind of lower growth environment could persist, as we noted into 2022, really driven by those items as well as again, a slowdown in overall funded loan demand as customers put cash to work ahead of borrowing.
Matt Olney: Okay, thanks, guys.
Will Furr: Thank you.
Jeremy Ford: All right. Thanks, Matt.
Operator: Our next question will come from Michael Young with Truist Securities. Please go ahead.
Michael Young: Hey, thanks for taking the question.
Jeremy Ford: Hey, Michael.
Will Furr: Good morning.
Michael Young: Wanted to see if I could just get, sort of more of a real-time update, you know maybe quarter-to-date, we've obviously seen a material drop in interest rates over the last couple of weeks compared to the prior four months and then also the removal of, kind of the 50 basis point additional charge for refinance. So, have you guys seen, in the last couple of weeks, a material increase in volume and does that give you any additional confidence maybe above and beyond when you guys were originally setting guidance?
Will Furr: Yeah. I don't think we've seen anything that would cause us to change our guidance. We took the origination volume up in the range of basically $3 billion to reflect both first half performance, but also what we're seeing on a real-time basis. The fee reduction I think in principle we're seeing can pass through to the client at this juncture. So, it is in there. We're seeing it. But at the end of the day, most originators [indiscernible] passing that through, we certainly are. And so from our perspective, again, I think while the mortgage continues to be choppy, we're still very constructive on the purchase origination market. As Jeremy mentioned, there are some constraints there as it relates to overall availability and affordability. But that said, we still remain very constructive on the purchase side of the market. We think refinance is going to move around a little bit based on where rates are, but there was a lot of refinance activity over the last 18 months, and as a result of that, it's probably not as sensitive to short small basis point moves in the 10-year as it may have otherwise been historically. So, we think the guidance outlines our view on what we're seeing at those current levels.
Michael Young: Okay, thanks. And maybe in addition to [LO hiring], could you talk about any other strategic initiatives that you guys might pursue? I know in the past you guys have gotten a little more involved in kind of the construction or renovation market, you know obviously there might be a HELOC opportunity at the core bank as market values appreciate, but people want to hold on to their core loan. Any other things like that that we could look for, joint ventures, etcetera, maybe kind of over the medium-term?
Jeremy Ford: I wouldn't look for anything like product differentiation. We have our joint venture business that's in the homebuilding business. It is really strong. So, we'll continue to try to grow that. However, our JV business at PrimeLending has just three affiliated partners and it represents about 8% to 10% of our overall volume. So, I think that the big thing that PrimeLending is they continue to try to do is really enhance their technology and support for the loan officers and invest in that so that we're able to continue to leverage that network and grow it more and that's what we'll continue to do. And then we have, with the implementation of our new loan origination system, Blue Sage, and then we've got some other add-on applications that should hopefully increase flow.
Michael Young: Okay, great. And one last one if I could sneak it in, just on sort of fair value marks or adjustments that may have flown through, kind of the income statement this quarter that we shouldn't necessarily forecast going forward, I know that's typically a bigger mover in the TBA business, so just any color there would be helpful.
Will Furr: Yeah, not a lot of fair value [markets] as it relates to pipeline [markets] we've historically had in periods. I think we did note in our press release, we had about $6.5 million of fair value marks related to certain HOP investments where transactions were exceeded in the period. So, that was episodic, if you will, and not necessarily related to any pipeline activity in the core business.
Michael Young: Okay, thank you.
Operator: Our next question will come from Woody Lay with KBW. Please go ahead.
Woody Lay: Hey, good morning guys.
Jeremy Ford: Good morning.
Woody Lay: Most of my questions have been answered, but I had a couple of quick follow-up. So another nice quarter on the deposit cost front. It looks like you have around $300 million of broker deposits remaining. I was just curious when these broker deposits are set to mature and what yield do they carry?
Will Furr: Well, the blend is right around 30 basis points and they are going to mature between now and over the next 12 months to 18 months. So there is a long window in terms of the maturity. So, they kind of move, I'd say, there will be a block of CDs that continue to kind of roll off here over the next 90 days and then the more, kind of money market funds have a longer maturity value on them.
Woody Lay: Okay, got it. And then last from me. You noted that you executed another MSR sale of $32 million, was there any material gain that came out of that sale?
Will Furr: We did execute the sale. We also executed a few LOIs, which will be noted as well. We did see kind of favorable pricing there relative to the mark to the tune of about $9 million.
Woody Lay: Okay, got it. Thanks, guys.
Will Furr: Yeah.
Operator: This will conclude our question-and-answer session. And now the conference has concluded. Thank you for attending today's presentation. You may now disconnect.